Geoff Raskin : Good afternoon, everyone, and thank you for joining us today and standing by while we were solving some technical issues. I'm Geoff Raskin from Investor Relations. I'm pleased to have with us Gustavo Calvo Paz, our CEO; and Geert Peeters, our CFO, to present the first quarter results. Before that, let me remind you of the safe harbor regarding forward-looking statements. I will not read them out loud, but I will assume you will have duly noted them. With that cleared up, Gustavo, over to you.
Gustavo Calvo Paz: Thanks, Geoff. While tense geopolitics led to a more challenging and uncertain economic environment, Ontex showed resilience against these headwinds in the quarter. Thanks to the structural changes made in the last couple of years, and despite temporary drops in demand, we are confident and confirm our full year guidance. In quarter 1, revenue was a solid EUR 451 million. Our continued positive contract gain loss balance partially offset the expected price decrease carryover and the drop in market demand, resulting in a net EUR 10 million decrease versus last year. Adjusted EBITDA was EUR 51 million, EUR 2 million lower, reflecting the volume decrease and ForEx, while our cost transformation program fully offset the sales price contraction and higher costs. The margin thereby, remained solidly above 11%. Let's go back to the market dynamics on the next slide. The geopolitical tense climate led to ForEx volatility as well as recession and inflation fears, in particular, the U.S. and reciprocal tariff threat for which we took mitigation actions. The higher resulting costs are partially visible in our Q1 results, as Geert will discuss later. Importantly, Ontex's imports into the U.S. from its Mexican plant are manufactured under the tariff exception provided by the USMCA, thereby minimizing the direct impact from U.S. tariffs, which is very good news. However, these tensions also led to a drop in consumer demand. In Europe, overall consumer demand dropped by low single-digit, especially in Baby Care, where demand fell by high single-digit. Other Care continued to grow by mid-single-digit in the retail and was stable in the health care channel. In North America, it is overall a bit the same picture, though less pronounced, with demand down by low single-digit in Baby Care. While these circumstances affected our quarter 1 results, we continue making strong progress on our strategic journey as summarized on the next slide. First, on the structural side, we made further progress on the portfolio refocusing with the announcement of the deal to sell our Turkish business in January and the closing of the Brazilian divestment at the end of quarter 1. Both are expected to bring in around EUR 115 million this year. These proceeds allow us to issue a new bond for a lesser amount than before, and we extended our debt maturity by 5 years. Our now strengthened and more durable balance sheet is appreciated by the rating agencies, leading to an upgrade by Moody's in the quarter by to B1. These measures further enable us to fuel our 3 value creation drivers, where also further progress was made in the quarter. We strengthened our competitive and sustainable innovation with a new feminine care lab in our Spanish plant, and we launched the Dreamshield innovation for diapers across Europe. Our best-in-class initiatives continue to deliver with the initial contribution from the Belgium footprint transformation, allowing us to improve our operating efficiencies yet again with 4% year-on-year. These initiatives allow us to expand our business. And while the market is currently not favorable, our double-digit volume growth in North America continues. In Europe, we continue to improve our product mix and our gain and loss balance remains positive. With that, I leave you to Geert for the financial details.
Geert Peeters: Thank you, Gustavo. So, we are now on Slide 6 with the revenue bridge for Q1 versus last year, showing a like-for-like decrease of 2.8%. The largest part, 1.6% is linked to pricing. Prices came down in all categories, which was expected. While our prices remained largely stable since mid-last year, they did come down in the first half of last year, reflecting investments in competitiveness and the decrease in raw material prices in the periods before. Volumes, including mix, came down 1.3%, reflecting the market evolution, which Gustavo covered across categories. In Europe, our Adult Care sales were up, boosted by solid demand from as well the retail as the health care channel. This development continues to strengthen the weight of Adult Care as our largest category in our portfolio. In Feminine Care, sales volumes were lower with a weaker market demand and some temporary supply issues, which have been solved meanwhile. In Baby Care, volumes dropped with overall demand, but with an improving product mix. And finally, in North America, although the market was softer, we continue to generate double-digit volume growth in Baby, building on our growth momentum with contracts gained last year. And in the second half of this year, we expect new contracts to kick in as well. Let's move to the next slide on EBITDA bridge. On this bridge, you can see that the slight decrease in adjusted EBITDA can be entirely explained by the lower volumes, which had a EUR 2 million impact. Our cost transformation program delivered yet again and offset our previously explained sales price decrease as well as the increase of raw material prices and other operating costs. We delivered 4% operating efficiency gains in line with the delivery in the last 2 years with on top of the continuous improvement initiatives, our Belgium footprint transformation starting to bear fruit after the closure of the Eeklo plant. Raw material prices were up by EUR 3 million, reflecting an increase in the indicative support fluff as well as slightly higher prices for superabsorbent polymers and packaging. The operating SG&A costs went up with salary inflation, but also with additional costs to support the expansion in North America as well as some measures taken to mitigate the impact of the U.S. tariff threats. The combined effect led to a slight contraction of our operating margin, which remained solidly above 11% however. And as Gustavo explained, we're pleased to report that our plant in Mexico is USMCA compliant, and so we have no impact from tariffs there based on the current information. Let's now cover the net debt and leverage ratio on the next slide. On Slide 8, you can see the evolution of our last 12 months adjusted EBITDA. That's the light blue line, then net debt, the dark blue line and at the bottom, in green, the leverage ratio. Our net debt rose to EUR 656 million at the end of March. This was mainly due to higher inventories linked to the actions we took to mitigate the U.S. tariff threat. Moreover, also our factoring was down. We've continued to invest in Ontex's transformation with besides a higher CapEx intensity, the payout of restructuring charges related to the Belgium footprint transformation. We also had a cash out of EUR 10 million in the quarter for the share buyback program. This program was launched in December '24 and is meanwhile finalized with 1.5 million shares bought back. The leverage ratio, thereby temporarily rose above 2.5x, but remaining well within our operating bracket of maximum 3x. Early April, as you know, we finalized the divestment of Brazil. Based on the proceeds received and adjusted for the EBITDA, net debt drops back to 2.5x pro forma. All that allowed us to reshape our debt structure, as you can see on the next slide. Our main credit facilities, and as you know, that the revolving credit and the high-yield bonds, which were maturing, respectively, end '25 and mid-'26 have been now refinanced for the coming 5 years. Thanks to the received and expected divestment proceeds as well as improving free cash flow, we reduced gross debt by decreasing the high-yield bond from EUR 580 million to EUR 400 million. Moreover, our improved credit profile was also recognized by Moody's upgrade to B1 recently and Standard & Poor's upgrade to B+ already end of last year. As a consequence, the credit spread of the high-yield bond came down from 407 to 284 basis points. Despite the higher interest environment, the lower debt quantum and these lower credit spreads allow us to keep the high-yield bond interest at the same level as before. While we reduced the gross indebtedness, we increased our liquidity flexibility with the RCF limit now at EUR 270 million based on a syndicate of 8 relationship banks. We thereby have the financing in place to support our business growth and secure our resilience going forward. With that, I hand you back over to Gustavo for the outlook.
Gustavo Calvo Paz: Thanks. While market conditions were soft in quarter 1, and probably these conditions will prevail in quarter 2, we have a strong game plan under execution for the year. That gives us confidence, so I'm pleased to confirm our 2025 outlook. Revenue is expected to grow by 3% to 5% like-for-like, supported by double-digit volume growth in North America with new contracts in H2 kicking in, and this increase in volumes will support the margin growth as we gain scale. Adjusted EBITDA is expected to grow by 4% to 7%, supported by the revenue growth and also further improvement of operational efficiencies, which will expand margin further. And remember that, based on current information, Ontex North America operations fall under the USMCA tariff exception. Free cash flow is anticipated to remain strong while continuing to step up investments in Ontex transformation, which is near completion by the end of the year. And we expect our leverage ratio to reduce below 2.5x by year-end. On next page, while our financial results in the first quarter might not show the progress we expect for the year, let me share with you a couple of elements which give me confidence in delivering the outlook. Our results in the first quarter showed good resilience in a more challenging environment, and we remain laser-focused on our value creation drivers and even more so today, now the portfolio is taking its final shape. We continue to deliver operating efficiencies gains with small and larger actions to structurally change our operating cost. You can see part of these results in our EBITDA margin, which remained over 11% this quarter despite a challenging environment. We delivered competitive and sustainable innovation every quarter, which inspires customers to expand their and our business together. And in the second half, some major contracts will kick in, allowing us to grow volumes and become the second biggest retailer brand player in the U.S. And on top of this, we believe that underlying market demand in Europe and in the U.S. will rebound and even faster for retailer brands, which gain even more attractiveness in current circumstances. With that, Geert and I are ready to answer your questions.
Geoff Raskin : Before handing over to the operator, I ask you to state your name and firm and limit your questions to 2, if time allows, we'll do a second round for additional questions and if not, feel free to contact IR afterwards. Operator, over to you.
Operator: [Operator Instructions] We will take our first question from Wim Hoste, KBC S.
Wim Hoste : I would like to ask a question about the market conditions early Q2. Please can you maybe elaborate a little bit on the promotional activity you see both in Europe and the U.S.? Is that still as intense as it was in Q1? Or do you see some relaxation there? And in terms of, yes, your commercial momentum and production momentum, maybe to put it like that, there was some disruption from the Spanish flooding, et cetera. Is that behind you? And will that help you to post a better volume performance in Q2 than in Q1? Can you maybe elaborate also on that?
Gustavo Calvo Paz: Sure. I will take that here. So, the market conditions definitely is a soft market demand in quarter one, and we're still seeing that softness today. And I think that is because the geopolitical situation and the still there and they're still in discussions. So that makes a softer demand generally speaking. Consumers perhaps fearing inflation or recession, and that is not the exception right now. So, in Europe, it is one thing. And in U.S., both countries -- both regions, sorry, has the same type of context. But I want to clarify one important thing that our volumes are not affected by any loss of accounts or any loss of customers. We are following more or less the market trends and retail brand, yes, the activity. You mentioned activity of A brands. There is, of course, some more aggressive activities or more depth in the activities on the promotion of A brands in both Europe and in U.S., but retail brands in this context will come back stronger. So that's a very good news. And our gain and loss balance is positive, and it will remain positive also in the rest of the year. So, we are confident on the volume growth for the coming quarters. Regarding your Segovia question, I appreciate it because I think it's a very important point. I think that we have those floods, unfortunately, floods in the Segovia plant just 2 days after we opened the lab there with the authorities, the local authorities. But in 3 weeks, although the plant was fully flooded, in 3 weeks that team and with the help of other teams as well, was able to start again the plant and is operating fully all the machines since several weeks ago. So, it was fixed, the challenge. Thank you very much for asking because it's a big recognition to the local team.
Operator: We will take our next question from Karine Elias, Barclays.
Karine Elias : I just had one to start with, please. Just wondering what the lower -- the weaker dollar basically has as an impact on your COGS. Should you benefit from that in terms of margins?
Gustavo Calvo Paz: It was super quick. Would you mind to repeat a little bit?
Karine Elias : Yes, of course. Sorry. So, I just wondered whether you can help us understand what the impact of the weaker dollar would be on your COGS. I'm assuming that should benefit you given that obviously, the dollar has been weaker. If you can maybe give us some probably clarity in terms of how should we think about COGS and margins on the back of that?
Geert Peeters: Now your question is very clear. Yes, first of all, the dollar was going all directions, of course, because it's -- in the beginning of the year, it was extremely strong. Now it's weaker. And you're right, a weaker dollar, if we look to the raw material costs because some of the raw material costs are in U.S. dollar, it will help us at the procurement sites. At the same -- of course, also important, it will, of course, the margins and the revenue in U.S. dollar, there we have a translation risk, which will be lower. So actually, what we say is that we're quite neutral to the dollar as a company because if we look to the purchasing and the sales side, it's quite balanced at this moment. But definitely, in procurement, it will help us a lot in the coming months.
Karine Elias : Very helpful. And thank you for clarifying that you haven't seen any changes in terms of your contract. But have you seen any changes in your customers' behavior leading to the tariffs, so restocking or stocking ahead or pulling demand forward or pushing it on the other hand? Or has it been just normal course of business?
Gustavo Calvo Paz: No, it's not normal. No. And what we see so far is on the contrary, I would say, positive signs because our customers are looking for something that is very positive, which is innovation. So, they want to boost their sales through innovation, through new ideas. And that is something that we have been seeding with our teams for the last couple of years with our customers. So, we do have, let's say, a bunch of good things to implement in the customers going forward. So, we see that as a positive sign from the customers looking after boosting their sales through the retail brands. And that's why we are confident on that.
Operator: We will take our next question from Charles Eden, UBS.
Charles Eden : Two questions for me, please. So first, on the guidance, obviously, you've pointed to an expected improvement in the second half of the year, which has allowed you to reiterate the full year guidance despite a soft start to the year. To what extent do you have sort of guarantees or certainties or high visibility on these volumes in North America coming through in the second half? I ask because the share price reaction this morning is clearly telling you the market is incredibly concerned that this will ultimately not materialize and hence, you're simply delaying a full year guidance cut, be that to Q2 or Q3. And then my second question is on the tariff exemption for the Mexico manufacturing of the North American Baby sales. Should this change? Could you help us how much of this manufacturing could be moved to your U.S. facility? And how quickly you think this could be actioned?
Gustavo Calvo Paz: Okay. Thanks, Charles. On the guidance and how -- the confidence that we have in the volumes coming from U.S. in the second half of the year, we do have contracts and agreements signed with customers. And there are 2 very important retailers, new retailers for us. New and important retailers that we have been working with them, and we are still working with them in terms of exactly the product that is going to go into their shelf supplied by us. And I can tell you that there is no any sign that any of that would be at risk. On the contrary, I'm going to say that one of those customers, the teams, they flew over from U.S. to here to our lab in Baby Care to work with us and to see exactly with their eyes what all the innovation coming for beyond what we are launching now. And it was a fantastic meeting with them, very, very positive meeting. Not just talking about what we are going to have on the second half, but also beyond that. So very, very good opportunities. So we are extremely confident on that volume. Actually, and I'm going to link it to your second question about the tariffs and production in Mexico. We are not in a position to say that we fear about changes in the tariffs because it was very clear rule about the USMCA exemption, and we fully comply on that. But also, we have been building our teams in anticipation of not just on anticipation of this volume for the second quarter -- for the second half, sorry, but also in anticipation and extreme our -- and maximize our production capacity in U.S. So that is a little bit of partially the cost that we have faced in the first quarter because at the beginning was due to the mitigation plans on the threat, on the tariffs. But today it is already due to the opportunities that we maximize our production in U.S. and supplying the customers. So, answer to you, no fears about the volume coming from U.S. in the second quarter at all. On the contrary, we are very, very solid, and that is going to kick in in the second half. And on tariff exemptions, also, we are strong. We comply with the USMCA, and we are maximizing our production and we have plans for the future as well for the U.S. plant.
Operator: We will take our next question from Reg Watson, ING.
Reg Watson : Gustavo, I'd like to understand a couple of things, please. First, in the release, you had a sales price decrease of EUR 7 million impact on the adjusted EBITDA, but raw material prices were up by EUR 3 million as well. So I'd like to understand the dynamic of why prices to your customers are coming down at a time when you're experiencing raw material price inflation. So that's question one. And then the second question is related to the softness that you alluded to in the quarter, economic dislocation, et cetera. I can understand that having a longer-term impact, but I'm surprised that it's having such a short-term impact on both Baby Care and Fem Care, given that people's purchasing decisions in these areas can't be changed. You can't no longer have the baby. And obviously, for Fem Care, it's a monthly requirement. So I'm at a loss to understand why a product category that should be fairly immune to economic cycles or price elasticity is struggling so much in this climate.
Gustavo Calvo Paz: Thanks for the question. On the sales price, that is, year-on-year. And there's a carry-over from last year. It is not about this year. Actually, our pricing in quarter 1 versus quarter 4 last year is stable, has not decreased. So the decrease that we are seeing is a competitive position that we took on last year based on the cost of last year. So pricing, we don't see that as a major surprise, not at all. We were expecting and actually perhaps is better than expected. In the raw materials that you asked the question about the increase in cost, the price -- the cost increase in fluff that we experienced -- majorities in fluff, that's why I'm referring to fluff is due to indices. And that increase is something that it can fluctuate quarter-on-quarter or perhaps half-year versus half-year. And all those changes in the raw materials prices at that level should be under absorbed by our cost transformation program, should not inform too much in terms of pricing, that level of price changes. We are not seeing any major movement on the raw material going forward, on the prices of raw material cost. And we will see our pricing levels that are not going to -- they are going to start being more flat during the rest of the year. That is regarding your first question. On the softer demand, interest. It's a good question because it gives me a good opportunity to explain. Our category, Baby Care, on the contrary, is very sensitive in terms of consumer feelings, consumer fears on inflation and actually facing inflation in some cases, in some countries, but fears. And I'll give you an example. What I'm saying is sensitive. When you have a baby and perhaps you are changing 5 diapers per day and due to that fears or your situation in terms of some inflation, some cost increases in some other categories or in services, whatever, you decide to move from 5 diapers per day to 4 diapers per day. That will imply 20% down in the consumption of that family. So, we are not experiencing that 20% down, but that is the average of the sensitivity that I'm talking about. So that it corrects then -- it corrects because it will correct once the consumer again accept the new situation, accept the new context situation, it will correct naturally. That's why we know -- and we know that by facing this type of challenges in the past that the demand will correct, slowly will correct. On top of that, what we are saying is that in the case of retail brand, it will create opportunities, most likely. And combined with the previous question about how retailers are seeing this dynamic on their own brand, on their retail brand, it is very positive because they are demanding from us new ideas, new innovation, new products to bring in more excitement on the shelf to deliver and to sell more volume in their retail brand. So, this is a sensitive category. I'm going to answer your second question.
Reg Watson : Thanks for the explanation, Gustavo. I'm aware of the sort of the consumer decision to change baby less often. I was under the impression that was much more an emerging market phenomenon where perhaps the cost of the diapers is a larger percentage of the consumer basket, the weekly purchase, let's say. I was less aware that it was an issue in Western Europe. But then coming back to this issue then, if the consumer is that sensitive, then presumably, the retailer brands are in a good position to benefit from down trading from the A brand. But again, occasionally, this is stymied by action taken by the A brand to prevent that. What are you seeing in terms of campaigns around Europe on that?
Gustavo Calvo Paz: Yes. Yes, yes. You are describing exactly the dynamics that we are seeing. I will confirm again one thing that is important. The soft volumes that we have experienced in the first quarter and through April has continued, right, in terms of the demand. I'm talking about the demand. That is not -- in our case, it's not due to that we have lost any customer. On the contrary, we keep -- we have a positive loss and gains customers' accounts, and we are foreseeing that continue in the year. That is our program. That is what we see in the contracts. But the good news is that even though, yes, a brand will react trying to defend their volume or defend their market share, I know that, right? But also retail brand is asking while they are asking us for ideas and for new things into the shelf is that the decision of retail brand not to be -- not to lose their position in the retailer's brand. And that's very good news. That's very positive because it comes from the retailers, not just from us. So, we are 2 together here building that retail brand volume growth.
Operator: [Operator Instructions] We will take our next question from Fernand de Boer, Degroof Petercam.
Fernand de Boer : I was disrupted, so maybe it's already asked, but can I come back on the outlook because you have now added the except of taking into account the exemption from the Mexican trade tariffs. Well, in the previous call, you were very determined, Gustavo, that actually it should not be exaggerated, et cetera. So, does this now mean that you're actually saying if we had these trade tariffs, if you were not exempt, then we would have not matched your profit or that you still believe that even if this trade tariffs should come that you can still make your guidance? What exactly do I have to read in this one? That's the first question. And then the second one, maybe coming back on the previous ones. In Europe, if I listen carefully to Procter & Gamble, they come up with new innovations. If I also listen to others, then actually they do maybe relatively well. So, you say, okay, we are not losing any contracts. So, we simply have more volumes at existing customers. But Procter & Gamble said we are coming with new innovations. We are going to put investments behind that, so meaning perhaps more promotions. So how quickly could you respond to these new innovations of Procter & Gamble?
Gustavo Calvo Paz: Thank you, Fernand. On the outlook, when we talk -- when we gave the outlook that we are confirming today, our outlook is a range in the top line, 3% to 5% and in the bottom line, 4% to 7%. Yes, indeed, our first quarter is not in line with that outlook. But also, we, at the time of the -- in February, when we gave the outlook, we said that we were going to go quarter-by-quarter ramping up because we knew that in quarter 1, we were going to have some challenges, perhaps not as much as what we had, but we knew because of mitigation plans on the tariffs. So, mitigation plans that we put and we execute cost us money. And that range was due to depending on the level of our mitigation plans execution and on the level of the tariffs. That was totally uncertain at that moment. And some of those mitigation plans were executed and cost us for the first quarter and also, we are going to carry some costs perhaps initially in the second quarter. But the good news is that those tariffs are not going to come because we are in that USMCA agreement and tariff exception. And we still -- our outlook is still in a range. And how is that, we will improve our margins today -- from today to that outlook is through kicking this volume in the second half of the year. And specifically, not just its Europe recovering volume gains, but also significantly from the U.S. When we have, as I mentioned before, 2 customers, 2 important retailers, new for us, new volume, and that will give us scale in our business. Significant scale, scale that we are preparing for that production. So, quarter 1, partially in quarter 2, we are building that capacity already in the plant, but that capacity costs money. Then once we start invoicing that volume in the second half of the year, that brings scale and the change that we will see in our margins is going to be significantly coming from the U.S. And that is a big source, not just in revenue growth, but also in our margins. In terms of the innovation, the second question that you asked, Fernand, P&G innovation, yes, we also hear another competitor talking about another innovation. The innovation coming from baby diapers or in all of our categories is constant. Our innovation investment behind unsustainable innovation, we have a clear mandate to be a faster matching that type of performance than innovation from the A brands. Customers, they know that, and they rely on that. So, our teams in R&D, also they can see the coming innovation through the IP filing and through analysis of the -- not just the launch but the IP filing. So, anticipate those innovations. And that's why we are able to be faster at going into the market with competitive products. I'm fairly confident in the type of innovation we are bringing and I'm telling you, customers they're totally aware about the innovation that will come from A brands. They don't share that with us, but they know. Then they have -- we have our meetings with them. And when they see our innovation coming, they are very, very pleased and confident about the innovation that we are bringing. So, meaning that they are comparing in their minds one with another. So, we feel confident about that. We have a very strong innovation pipeline, believe me.
Fernand de Boer : Maybe one follow-up. If the U.S. comes into production, then we can also assume that the working capital outflow is going to reverse? And could you quantify the factoring impact on the working capital in Q1?
Geert Peeters: Yes. Thanks also for that question, Fernand. So, you have seen that our net debt was increasing. A big part of it is related to the working capital with in fact, 2 big impacts. First of all, the factoring, as you said, factoring we were down, I think to about EUR 6 million to EUR 7 million in that range and it's fully related to revenues. If your revenue comes down, of course, your factoring comes down. So that's on one hand. On the other hand, we had inventories, which is very much related to the mitigation on the tariffs. Of course, we made all the production we wanted to -- we maximized the production in Tijuana, put it in the U.S., which brought, of course, some warehouse costs. And currently, we are working based on what we know now on tariffs, we're bringing down the inventories. So, this will be improving again. And what I thought on guidance and on the -- yes, the strong free cash flow that we confirmed as a guidance, we believe indeed that our working capital throughout the year, first of all, the temporary increase of the Q1 will decrease again in Q2, and we see improvement in the second half of the year. That's related, of course, to inefficiencies we still have on the transformation of the Buggenhout plant, on the installation of a lot of CapEx we are doing. By the end of the year, we see quite some improvement. So, working capital should be better at the end of the year, supporting the strong free cash flow. Does it answer your question?
Operator: There are no further questions on the line. So, I will now hand you back to your host for closing remarks.
Gustavo Calvo Paz: All right. To conclude, I would like to emphasize that at Ontex, we are a resilient team. While we may encounter occasional challenging quarters, these are temporary fluctuations, not indicative of long-term trends. We remain committed to executing our strategic transformation road map, which is fundamentally enhancing our competitiveness. Our focus is on achieving sustained success over the long-term. Thank you very much.
Operator: Thank you for joining today's call. You may now disconnect.